Operator: Ladies and gentlemen, welcome to the adidas AG Q1 2024 Conference Call and Live Webcast. I am Alice the chorus call operator. [Operator Instructions]. The conference will be recorded for publication or webcast. At this time it is my pleasure to hand over to Sebastian Steffen, Head of Investor Relations. Please go ahead, sir.
Sebastian Steffen: Thanks very much, Alice. Hello, everyone, from sunny Herzogenaurach. Welcome to our Q1 2024 Results Conference Call. Our presenters today are our CEO, Bjorn Gulden; and our CFO, Harm Ohlmeyer. Before Bjorn and Harm will take you through the puts and takes of the quarter and explain our expectations for the rest of the year, [Operator Instructions]. And now, without any further ado, over to you, Bjorn.
Bjorn Gulden: Thanks, and hello, everybody. I hope you're all in good shape and good mood. I think the picture on the screen is an important one. It shows both the men and the female team of Real Madrid, playing in the Y-3 Yamamoto design, and I think that mirrors a little bit of what we are trying to do to merge lifestyle and sport [indiscernible] And of course, tonight is a special night with Bayern playing Real and I hope you'll all cheer for the Bayern because that's where we are a shareholder as you know. You saw all the numbers already a couple of weeks ago, where we went out to [indiscernible] and you know we went out to [indiscernible] because the year has actually started better than we had expected and we'll try to take you through the story why and then get a little bit more into the details for now. Our same store for currency neutral, up 8%. We should take the Yeezy business out which was €150 million, it's around 5% up. And that is stronger than what we had expected given the order book where we were at the beginning of the year. That was positive, but what was even more positive was that the gross margin reached 51.2%, up 640 basis points. And again, I think everything that we had an impact of was positive. And the only negative thing was, of course, the currency, which is still pulling off in the wrong direction. The Yeezy effect on the gross margin is about 70 basis points. So that tells you that the underlying adidas gross margin is already above 50%. And as you know, that is very important for us to get to the profitability that we want midterm. If you put that all together, we then had an operating profit of €336 million. That's up from €60 million a year ago. And the same thing here, the contribution from Yeezy on the profit line was a little bit less than €50 million. So it shows you that the underlying adidas contribution is then around €290 million. What is very important for us, and you know it was one of the major targets when we met the first time a year ago was to get our inventories down and as you can see, it is now at €4.4 billion, which is a reduction of €1.2 billion. And of course, this is the underlying thing that can, what should I say, support both our growth with fresh inventory where we can have good sell-through. And of course, it was extremely important for our gross margin. And again, I am actually very proud about and the sales team and what my friend here has done on the financial team to actually have a discipline to get this executed in the different markets. If you put it all together, we then also said we increased our guidance on the top line from mid-single digit to mid- to high single digit. And the operating profit, EBIT from around €500 million to €700 million. When you then say why have we had this improvement, it's obvious that our franchises in footwear lifestyle is continuing to do very, very well. We started talking about the Terrace side, because they had the Samba and Spezial a year ago and what has been added afterwards is the Campus, which are now all selling the Samba in certain markets. and lately also the SL72, which you remember is also Terrace side, but on the running, midsole and it's picture from Munich in 72. So this is what I've turned the brand around on the lifestyle side. But it's not only the old franchises, it's also the new product. We've had the most successful soccer launch, I think, ever with the Predator. We are very happy with the jersey sales and the launch for both the EURO and the COPA. We have successfully launched the Supernova Rise, which is our answer to running specialty on top of the very successful adizero range. We have launched the most innovative trail running shoes, the Agravic Speed. And we've had certain successes with our 2 franchises Anthony Edwards and Harden in the basketball arena. And then we have started doing collabs with a superstar. Here you see [indiscernible] collab that we have done. So many new things that is adding to the lifestyle area that has helped us getting the numbers as positive as they are. If you then look geographically, we start with the only negative number, that is North America down 4%. And again, we have said all the time that we believe North America is lagging 6 to 9 months behind. We believe that America will turn into positive in the second half and one of the reasons we are optimistic is that the inventory in the U.S. is now down 41% compared to a year ago. So a much cleaner, and we also start to see that our retailers are getting cleaner with our inventory. If you then look at our home market in Europe of 14% and very, very happy with the development in Europe. And I think it's fair to say that our sell-through is even higher than our sell-in. So the growth currently with the consumer is even higher than the 14% you see, but a tremendous success in Europe in the turnaround. If you then look into Greater China, plus 8%, I think we've spoken about China many times, and we have said that we think we can grow double digit already this year. 8% is a little bit shy of double digit, but not a lot. There is a lot of energy in the market. We are doing a lot of activities, both in performance and lifestyle. We are very happy with the performance of the team, and we feel confident that we will end the year up double digit despite, I would say, an economy that is maybe not as hot as many people would have hoped for. If we then look into Japan and South Korea, 2 markets that are very dependent on trends. South Korea is the market that is leading trends currently, we are up 7%, and here we start to see that demand is higher than supply and we are very optimistic about the midterm development of those important markets. Remember, these markets were earlier into the market and is now separately managed with local people reporting straight into headquarter. LatAm, still a very strong quarter, plus 18% and that is despite all the issues we have with Argentina and also in Brazil, a difficult economy, high inflation, the team doing a great job. And then, finally, Emerging Markets, where our entrepreneurs running the smaller and new markets are doing a great job and where we are making the progress that we had planned. That gives you the 8% growth, and as I said, excluding Yeezy, which was around €150 million, has done 5%. Why do we have this growth? i think one reason is that we continue to invest heavily in marketing. In September last year, we launched original campaign, and during first quarter this year we have launched a You Got This campaign which is replacing Impossible is Nothing as our tagline. And I do think, as you see how we look around the world, we have a global frame that [indiscernible] the local content, both on the lifestyle area and on the performance area and we are very, very happy with the way the new adidas actually looks. In that line being globally -- having global credibility but be locally relevant is very important and that means that we are working with local brands for collaborations. We are localizing global product lines, like you see in Korea, and we are doing a lot of big activations in markets like China. You see here on page here our regional apparel activation which is a huge activation and also very, very successful. In general, localizing our go-to-market process is very important. You see here examples of Stan Smith in Mexico and actually doing activations there. You see Pharrell together with Edison Chen, actually doing an activation in Japan for the collab around Superstar and then also in America and LatAm, very, very active, what should I say, what is relevant for the consumer in our approach to be very relevant in the local market, but within the global frame of the brand. We do not only invest in marketing, but also in infrastructure. Here, you see the new distribution center in Saudi Arabia. And you see our new distribution center in Europe. We call it Campus South, which is actually in the Northern Italy. And I think it's one of the most automatic distribution centers in the market. And then maybe more emotional, but I think is extremely important for the brand, we do have our shoe factory in Scheinfeld, 40 minutes from here. We are using that to produce our original soccer shoes, the World Cup and the but are now also doing lifestyle products on the high end of the market. And I think because it's so important, I would like to show you a little bit video that we for 1-hour collabs because it is really something special for us and it shows the importance of footwear and the manufacturing process. I think it's very cool and again, this is the center of what they're all about and making it and very important for us that we keep this factory and we all continue to invest in it to make product, but also to use it as a place to show people how we make footwear and educate the next generation in showmaking. If you look at the channels, our wholesale business, remember this is what we sell into the retail, grew by 2%, might not be so impressive but you have to remember we're coming from order books being down 20% and I can assure you the order book now is positive and you will start to see the wholesale business continue to grow. If you look at our own retail, these are the physical stores you see up 11%, fantastic like-for-like in our concept stores, many of them about 20%, 30%, 40%, 50%. And doing extremely well because, of course, these stores have only adidas product. And of course, we clearly see that the consumer when she or he can get a full adidas assortment, they're buying a lot more than they did last year. Factory outlets also growing, but at a smaller rate. And that is, of course, that we still have our factory outlets full of clearance, it's going to be less and less clearance and you will start to see the freshness also coming through in our factory outlet. Our e-com growing at 34%, of course, some of this is Yeezy, but even if you take Yeezy out, we have double-digit growth in our e-com. And the good thing is that we're discounting less and less and our full price share is growing double digit, which is the same we reported last quarter because we clearly see that the combination of having our e-commerce brand and then commercial is, of course, what helps us, and it's not about optimizing the top line. That gives you the following split, 62% wholesale, 38% D2C where on retail, the stores are 21% and e-com being 17%. I can't tell you what the optimal mix is, but we think this 65-35, 60-40 is currently with the business, we see a healthy mix. And then, of course, we will optimize distribution market by market as we go. But currently, we are very happy with this split. We are investing in new stores. Here you see examples from markets like in India, but also in Colombia. And you also see a new store in Ukraine, and I have to take the chance to thank our team in Ukraine, the job that they're doing and the energy and the most difficult circumstance is unbelievable. And believe it or not, the business in Ukraine is also actually doing very well. The other store you see here is the new store in Champs Elysees, that's opening in the next 4 weeks in the middle of [indiscernible] and it will open before the Olympics, and it's going to be one of our most important stores, and I hope you all will have the chance to stop by. On the right side, you see it's not only about new stores. It's also about elevating and rejuvenating the old stores. And here, you see some examples, especially from Korea and Japan, where we are investing in elevating the brand. But as I said many times, we can only be successful if we look good next to the other brands. And here you see examples of how we have been elevated in SNIPES and DICK'S and JD and also in a Turkish retailer called Boyner. I could have shown you the same examples out of Footlocker, because the Footlocker stores lately have looked as good as anybody else with our product. And I think we have done huge steps with the way we look in all the high suite stores. If you then look at the divisions, footwear growing at 13%, apparel only growing at 2% and we have said all the time that apparel is more highly inventoried in general and that there has been more difficult to get growth. Happy to report that our soccer or football jerseys for both the COPA and the Euro is doing very well, higher than what we expected, so we are supplying more. But also that the regional line is starting to grow. So I think we will start to see also a bigger growth in apparel going forward. Accessory mainly following the growth rate of apparel, and that's why it is basically flattish. That leads to the mix, 60% almost being footwear, 35% apparel and 6% being accessories, which again, I think we will have to agree is a healthy mix. If you look at the split between performance and lifestyle, it is fair to say that the business now is driven by Lifestyle. And I have to repeat that we couldn't have asked for a better, what should I say, distribution. The original growth is driving the heat of the brand. It opens the brand up for the younger consumer. The younger consumer tends to go towards 3-stripes, first on footwear and then on apparel, and that is, of course, helping us tremendously also on the performance side. The performance side is already growing in the high end and running in soccer, in basketball and in outdoor. And the next step is, of course, also to open that up for the more commercial area. And I would say, the more everyday runners area or I would say, the more comfort area. But again, very positive development for us to have this development. We continue to invest in partners. The guy on the left side is Yamal, the 16-year kid playing for both Barcelona and the Spanish national team, extremely proud that our sports marketing people were able to sign him long term, many people say he is the new Messi. Let's see, but at least playing both on the national team and in Barcelona at the age of 16, it's very, very special. This is just a mix of different signatures. You see on the right side, baseball players both in Japan and the U.S. You see female basketball players, you see actors and you do see that we signed the best soccer club or football club in Saudi. There are many, many, many more, but I just want to see or show you the risk of what you're investing in. And I hope you clearly also see the focus on local partnerships to help the business in the different markets. Where we have invested a lot, and I've seen the success is, of course, in the high-end running. Our running team are basically winning all the major marathons, and you see it here, like in London Marathon, where we took 5 out of 6 podiums. That means both on the men and the female side. And also in Boston, Lemma won the men's class, and we had more of the women in the top 10. And in general, I have to say that the Evo that you see is probably the most innovative sports shoe that has ever been made and at 137 grams with a carbon plate, it is setting records everywhere. Talking about records. We had our Road to Records run on campus in the weekend. And as you can see, we had one world record on the mile, we have 2 under 20 world records, and we have 9 national records here on campus, fantastic performance. And then of the employees also joined and we run 5k, and we have more than 1,000 of employees being part of it and a unique event where you're all invited next year to both run and watch because it's something very, very, very special. If you then try to summarize where we are. You clearly see, we have the hottest shoes on the street, and we are maintaining them in a healthy way. It's not only , but it's also the Campus. And not only do we maintain it, but we continue to invest in the campaign to support them. And when you ask, are they running out of steam? The answer is definitely no. these are social search in Europe where you see the Campus, Samba, Gazelle are all going upwards. And you see that Campus is now more searched than Samba and you clearly see that we have 3 of the hottest shoes in the market before any competitor is coming. The social search is an important indicator for us market by market to see at what point in time do we need to manage the flow in a different way. If you then go into the future, the SL72, we started talking about a quarter ago. That's now being also scale. So many retailers are now asking for more , the sale through both men and women is good. And this will then also be assured that you'll do several million pairs going forward. We have the lo profile trend that we have talked about for a while. We saw a trending in the market on the carpet. We saw it be used by the coolest people, I personally think it's an extension of the Terrace trend. And with our history, both in martial arts, in boxing and in motorsport, we will have volumes of lo profile coming to the market already at the back end of the summer. Then we have spoken about lifestyle running. We have been criticized for not having innovation on lifestyle running. We are having 5, 6 projects that are going to market as we speak and the rest of the '24 year. Some of them in very small quantities, some of them scalable. And as I said many times, you cannot program what shoe in this area will be successful. That's why we have more than one. We are, for example, reintroducing the old equipment line that we were very, very successful doing in the '90s, that's best of adidas, and you will start to see that being seeded into the trendsetters and into the fashion influencers. So a lot of excitement coming when it gets to new silhouettes and new materials and new concept of lifestyle running. And then as you know, Superstar is the hottest and biggest shoe that adidas has ever had. We are starting to heat that up again. We are cleaning the market, meaning taking seasonal colors out of the market. We will focus on white/black, black/white, super black and super white. But given the success now of Terrace and Campus we don't see the necessity of scaling it quickly. So we will take it slow and make sure that we're not overheating the market on our range. And with that, blah, blah, I hand over to my friend, Harm, who will take you through the real numbers.
Harm Ohlmeyer: Yes. Thanks, Bjorn, for all the -- I wouldn't call it blah, blah, good content that we do on the marketing and sales side. And I just want to shed some light on what it really means for our financial performance and starting with the net sales, as always. I think everything has almost been said already. So 8% currency-neutral growth in the first quarter. Of course, when we exclude the €150 million that we did with Yeezy, it's 5% currency-neutral. But what's even more important, what we said early in the year that we have a 400 basis point headwind on the currency. You can see it exactly here, the 8% currency neutral is actually 4% nominal reported. So exactly what we said at the beginning of the year from the headwind, but of course, the performance is slightly better than we expected. What's even more important is the gross profit, and that's where we see the improvement, and I want to fast forward to the next chart right away, you see the improvement from gross margin in Q1 2023 was 44.8%, significant improvement of 640 basis points to 51.2%, but as all of you interested in as well, what does it really mean underlying without Yeezy? And you see very clearly Yeezy didn't have a huge effect, only 70 basis points. So underlying, we had 50.5%. And again, with some gives and takes, we can confidently say we are above the 50% mark on the gross margin again, and that is really a great achievement in Q1. And as Bjorn said, very much linked to the inventory as well. That shows you some more details on the next slide as well, where we always said we have tremendous FX headwinds, especially in the first half, but also for the full year. And you see the benefits now of high freight rates last year, where we get the benefits on trade, product mix, market mix, of course, less discounting, better product cost as well. And of course, especially in Q1, we have the benefit of huge inventory provision that we built last year in the first quarter, we didn't do this year, we actually had some releases as well as we have such healthy inventory. And of course, that is not being repeated for the remainder of the year. So it's definitely a special event in Q1 as well, but most importantly, it's a comparison to last year. So again, very healthy margin in Q1 and very optimistic for the remainder of the year. There are 2 things, before you get carried away on the gross margin, there are 2 effects probably for the second half that I want to mention right away. I'm pretty sure a question will come as well. As we are growing faster than expected and normally hedging 80% of our product purchases. Of course, we got to buy some of the product at spot rate. So given where the U.S. dollar is right now and the other currencies as well, of course, that is something that we saw would develop better in the second half. So that's one thing you should know. And the second thing is, as Bjorn indicated, the growth in wholesale was 2%, and we want to accelerate that one for the remainder of the year. And also there, I don't want to make a big story out of it, but of course, the channel mix will be something to watch for the next quarter as well. But again, all positive given where we started the year, just be aware of it, that you don't get too excited about it immediately. When we talk about marketing and operating overheads, very clearly, we keep investing to marketing also something we said very clearly, so €56 million more than last year. That is linked to the campaigns and you got this campaign that we launched starting at the Super Bowl, but many more events afterwards as well. And also on the operating overhead, I don't even want to talk about leverage. So we keep investing into sales. And as Bjorn said, we want to have a cautious approach, how we want to make sure that we start growing the top line and having healthy inventory and great gross margins before we talk about restructuring that other brands are doing. So we are focusing on getting the product to the consumer that is more important, but you see leverage starts and it will continue. That all leads to an operating profit of €336 million, significantly up from last year. And also here, only €50 million from the Yeezy contribution. So all in all, a solid without Yeezy underlying business, it's around €290 million. Nothing really new on this one, as Bjorn already talked about it. And, if we go to the next level, and I think there was quite some interest of many of you when we launched the numbers. Of course, we gained some interest as we have more cash on the balance sheet, and we earn some interest around the world. So we are somewhat better on the financial income, but also on the financial expenses. I want to shed some light in here because it went up significantly. There are pretty much 2 effects that I would like to explain that account for the majority of that increase, and that is, one, inflation accounting in Turkey and Argentina that has a significant impact on this one, which run through the financial results. And the second one is we did some repatriation of cash from Argentina that is very pronounced in the first quarter. So rest assured and don't quadruple that number for the remainder of the year. It was more pronounced in Q1 and will normalize over the next quarters to come. So again, it doesn't look good in the first quarter, but these are the 2 effects, hyperinflation in Turkey and Argentina and repatriation of cash from these countries. Now when we come to the income before tax and also the tax rate. And of course, in the short term, we don't want to optimize the tax rate, and we won't be able to do so because the IBT is still pretty, pretty small relative to the past. Again, as we are becoming a better company this year, a good company next year and a healthy company in '26. Of course, the tax rate will improve as well. But compared to last year, you see already that we are getting to a normalized rate of around 30%. And as we improve over the years to come, we will get to a tax rate that we used to have a couple of years ago. But everything is very much linked to the operating profit that we need to run into operational business first. That, of course, leads to a much better net income from a negative €24 million in Q1 '23 to now a positive €171 million in Q1 2024. We talked a lot about inventories. We can't repeat it often enough. We brought it down significantly, even 20% currency neutral. And this is when I look at the details coming from €5.7 billion by the end of Q1 '23, including €500 million of Yeezy inventory that at that point, we didn't know how to clear, what to do with it and you see confidently we cleared now €300 million of Yeezy inventory, now ending up with €4.4 million at the end of March '24, including the €4.4 billion, it's €200 million Yeezy inventory in. And I can probably clearly say today, that's probably the lowest inventory you will see for the years to come because we believe it's very healthy, not just from the size of inventory, but also from the aging of inventory that we believe that is a great base. And as we want to grow over the next couple of quarters and beyond, assume that is a low point that we have achieved now. Total receivables, as we indicated, wholesale, given the order books that we had is just a slight growth with 2% in Q1. That's why you still see receivables being down compared to last year, but that is also something you should expect going forward that receivables are growing as we grow our wholesale business, so really no surprise here. The same is on the accounts payable, we start sourcing more products through the growth that we are envisioning for the quarters and the years to come. So also that is a low point. And of course, we diligently manage both lines, receivables and also payables, but assume that is also going up in the quarters to come and it's only slightly going up as you get -- when you're prepared for accelerated growth in Q2 and in the second half. Overall, that leads to an operating working capital that has improved significantly as well. It's a combination of all the 3 above. Not a surprise. If you add up these numbers that we made tremendous progress on the operating working capital. If you compare that in percentages over the last quarters, of course, we had some low lines in Q1 '23 and Q2 '23, but you see the progress that we did not just on the inventories, but there was a main contributor to this one. And as we go to the road of being a better company than a good company and a healthy company, you can measure us if you get -- if you become a healthy company in '26, that is probably something we'd like to see below 20% again. But again, tremendous progress has been made on the average operating working capital development. That comes to cash, also improved from €778 million to now more than €1 billion, 40% up. And if you can call me on this one, I always said, I feel comfortable if you get to €1.5 billion in cash, that's probably, with no further signs, a good number that we would like to have on the balance sheet, living in a volatile world. And not only, when we get there, we talk about other measures for to do with the cash, but for now we want to make sure that we are investing into the operation of business, especially with some of the numbers that we have shown earlier that we get out of our concept stores, we want to make sure we keep investing in the brand and the D2C and wholesale business as we did since last year. Now if we improve our cash, which will further improve for the quarters to come. And of course, as we are not planning to refinance our bond that it becomes due in September, October this year, we also believe that the overall adjusted net borrowings over EBITDA ratio will improve significantly this year, which is important not just for us and the health of our balance sheet and company, but also for the rating agencies. So we are committed for the next couple of years to also get a healthy adjusted net borrowings EBITDA ratio of below 2% again and that shows again not just the P&L, but also the balance sheet is at very healthy levels, and the liquidity is also fine. So that's where we are. More questions later. With that, I would like to hand over to Bjorn again.
Bjorn Gulden: Well, then we just have the outlook. No surprise for you. We told you this only a couple of weeks ago, but just to repeat it, we are now expecting the net sales growth to grow from mid-single digits to mid- to high single digit increase and our operating profit, our EBIT to grow from around €500 million to around €700 million. The assumption in this is that we will sell off the remaining Yeezy inventory, the €200 million, at cost, which means no profit, but selling it at cost. We still expect significant FX headwind. And as we said many times, we will continue to kind of overinvest in marketing and sales to build the momentum then to get the leverage as we grow. The Yeezy business, I would like just to explain again, so we're sure we all have it the right way. In Q1, we sold €150 million. The next 3 quarters we expect to sell off all the inventory, which is another €200 million. And that gives you then the total revenue of Yeezy of €350 million. If you remember, last year, we sold €750 million, so it's then €400 million less. And again, compared to the guidance we had at the beginning of the year, we only promised to sell €250 million, so that's then an increase of €100 million. On the EBIT level, we made €50 million ballpark in Q1. We do not expect to do any EBIT on the €200 million we're selling off. So the total impact on the guidance is done, the €50 million. If you then look at the top line on the underlying business, you see we started the year with mid-single-digit increase. We have then added €100 million more on the Yeezy, the €250 million, or the €350 million, minus the €250 million. And then the underlying business, the adidas business, we see an increase of €300 million, that sums up to €400 million and the €400 million gives you then the change from mid-single digit to mid- to high single digit. And then finally, on the EBIT, we started with the €500 million. We add the €50 million from Yeezy and then an underlying €150 million from the adidas business, that is a total of €200 million, and that gives you the €700 million. I also want to get back to one thing that we talked about at the beginning of the year, we said that the year will start flattish and then accelerate. Now of course, the flattish was better in the first half or the first quarter. We expect still the second half to be up double digit. So you will see an acceleration. And why do we say that? Well, it is because we think we will maintain the franchisees in a good way. And then we will have quite some interesting product launches. Some of them you see here, we will reintroduce f50 as a second silo in soccer. Next to the Predator, we have a new Drop Step, which is the best selling training shoe that we have. We will relaunch the Z.N.E., which is the sportswear [indiscernible]. We have a lot of, what should I say, interesting stuff coming on the originals apparel, especially for her and adicolor. We will have a new adizero Adios Pro, this time Pro 4 shoe, which, in my opinion, is the best running shoe we ever launched. We will have a new UltraBOOST, which is combining running with comfort and everyday, what should I say, leisure. We have decided to launch more colors of the successful Anthony Edwards and as I said, we're starting to scale SL72. So we feel very comfortable with the pipeline of product for the rest of the year. And then as a year of sport 2 weeks ago, we launched our Olympic packages in Paris. We are making shoes for 41 different sports, that is 49 different shoe models. We have launched separate uniform for all the federations you see here and although I would have wished to have even more federations and they will come in the future, I think we'll have a great presence both in apparel and in footwear during Olympics, and you will see adidas from a very, very good side. And again, remember, we have the Euro here, we have the Copa America in the U.S., both tournaments very, very much dominated by 3-stripes, both on footwear and on apparel. You have the Olympic Games, which should be a great, great happening for everybody. And then it follows up with the Paralympic Games, which again will be as exciting. And when you put that all in context, we strongly believe that we predict on the right track in '23. We believe that everything that you have seen, we will be a better company in '24, that will continue in '25 to put both top line and some growth to the bottom line. And then in 2026, we think we will be a good and healthy adidas again. And I just want to remind you that, if we do the math, we think we believe double-digit growth, we believe that we need 50% to 52% margin that we can get leverage to have 30% operating overhead that we will continue to invest 12% in marketing, and that will then give you the famous 10% EBIT. I'm very happy with the way things have developed in the last 3 months. It shows the strength of the brand and the strength of this company. And again, we think if we do our job, we are on a very, very good track to deliver you what we have promised. So with that, I hand back again to you, Seb.
Sebastian Steffen: Yes. Thanks, Bjorn, and I'm going to hand over to Alice, who is going to moderate our Q&A session.
Operator: [Operator Instructions]. Our first question comes from the line of Piral Dadhania, RBC.
Piral Dadhania: My first one relates to the 2024 guidance for EBIT. I think there's -- trying to just reconcile why the EBIT guide is still quite conservative. I think if I back out the Yeezy contribution and the revenues in the EBIT in Q1, the underlying margin was about 5.5%, on €5 billion of revenues, €5.2 billion actually. And then for the remaining 3 quarters of the year, based on the guidance you've given, you expect to do something like €17 billion of revenues, but the implied margin on that to get to the €700 million is only a 2% implied underlying adidas margin. So why do you think the underlying adidas margin will more than half for the remainder of the year as you give the EBIT guidance? Any help there would help us understand the starting point as we build to '26. And my second question just relates to the cadence of revenue growth through the balance of the year as well. Thank you for confirming that double-digit growth is more than expected in the back half again. But if we think that the starting point in Q1 on an ex Yeezy basis is already fairly strong at 5%. Is it fair to say that there is a scenario in which you may actually get to double digit in the second quarter based on all the momentum you're seeing in the business?
Bjorn Gulden: Well, of course, everything you're saying could happen, but I do think that we also have to be realistic in saying, we are in the turnaround phase, where there is some uncertainty in everything we do. The Yeezy thing we have been working on for, I would say, 18 months trying to do the best out of it. We still have €200 million in inventory. And of course, we have no assurance that everything will work. So we're very conservative when it gets to any contribution of that and also to be very honest, making sure that we can get rid of all the inventory. So there is some uncertainty there. And then I hope you see that we have taken down our inventory by €1.2 billion and we've not tried to run after every sale we can because the most important thing for us was actually to clean inventory. So we have been extremely disciplined in not buying everything we would like to buy. Because if you do that, the risk is, again, that you will be overinventoried. And as I think you can imagine, is that trying to push the higher end of soccer, the higher end of running, the higher end of, I would say, outdoor, the higher end of basketball, we have, of course, shifted away from some of the commercial chances that we had because we couldn't do everything. And that's why we think that this year is about building a solid growth, building a quality growth, making sure that we and our retail partners don't need to discount and then I think we can be more, what should I say, optimistic about what are resource and are in 2025 and beyond. So yes, it's conservative, but it's also to avoid that we're starting to hunt things that could go wrong. So I think both your questions, both on, what should I say, the top line also for Q2, yes, if the retail success continue the way it is, then we could be double digits. That is true. We are pretty certain when we look at, for the order book, that we'll be double digit in the second half. And when it gets to the margin, again, just -- I hope you understand that we do not want to promise you something that we don't deliver. And that's why it is conservative, but there's also some risk to it on external factors that we, what should I say, have hanging over us. And I just need to remind you that in the last 3 years, we had China going down. We have a war in Russia. We have a Middle East crisis, we had had a supply chain issue. So I think we need to be, what should I say, a little bit conservative in the way we guide you knowing that your spreadsheet doesn't say what we say, but I think that's a more, what should I say, fair way of doing it so that we can do the right things to get to double-digit EBIT again in '26 and beyond. So that's the only answer I can give you.
Operator: The next question comes from the line of Zuzanna Pusz, UBS.
Zuzanna Pusz: Just two. So maybe question on performance and lifestyle. I mean you flagged helpfully that lifestyle is growing very strong double digit. Is there any chance you could tell us if performance business was at least up or was it really flattish? And related to that, maybe if you could tell us what the order book looks like for lifestyle versus performance. Have you already seen that effect spread into the performance business? And then secondly, on the gross margin drivers, you have provided a very useful table outlining the various drivers of the gross margin. But any chance you could maybe give us a little bit more color for Q1 in terms of at least 1/3, 2/3? What was exactly the impact of the product mix? The lifestyle business growing faster, full price sales, just like a rough idea, so it helps us a little bit when it comes to model for the remainder of the year.
Bjorn Gulden: I think I couldn't ask for a better mix when it gets to what is growing and not growing, and you shouldn't be too concerned or make any thoughts about performance against lifestyle because I have to grow the heat of the brand, and I'm doing that by actually connecting to her and him through originals. And the original sales in footwear is driving the heat of the brand and actually later pushing 3-stripes into apparel. And we know when the brand is hotter, it's much easier also to sell your performance product. And in the performance product, we're growing all the high end. So in running, we are growing the adizero, which is the highest end of the line, and of course, the Evo. in soccer, we are having the best launch ever that we have had through Predator. In basketball, we are selling both Anthony Edwards and Harden in the performance side. And on the trail running side, the 'has been a big success. So if you measure performance as performance, then we would be up. The problem, of course, is that the way we call things is that it doesn't show up in the numbers because if you look at basketball, the big part of the basketball is Classics in the basketball side. So I've any negativity into that Originals is growing faster than performance. What we also haven't done is that we haven't, what should I say, commercialized all the successes in Originals to the extent that we could have done. And again, that has been because we've been extremely disciplined in our buying because there's no way we could have reduced our inventory about €1.2 billion if we haven't been conservative. So I really, really think without talking ourselves up, we could not hope for a better sequence, lifestyle growing, sell-through being higher than sell-in, mostly with her than with him, high end of performance growing and then we have the chance both to accelerate the [indiscernible] and the commercial side. So right now, -- to be very honest with you, the timing of this, I think, is luck and probably that we've done a decent job, but I'm very happy with that development. I'm looking at Harm, if you want to say something about the split of gross margin. Do you?
Harm Ohlmeyer: Yes, I'm not sure I like to, but I'll give you some more flavor to the gross margin, Zuzanna. I mean the key topic is FX is weighing on our gross margin, right? There's no question, and we obviously to differentiate the progress we made compared to the last quarter, which, of course, is Q1 '23 when compared to this one, which was a bad quarter. So don't look too much on the 640 basis points, rather look at where we are right now. And again, there are benefits on trade. And of course, when I look at -- there's always a mix-mix effect, right? I mean when you sell and we all know this Originals footwear is driving a better gross margin because these products have a high gross margin. So all I can say without going into too much detail, the combination of product mix and market mix is probably 1/3 of the benefits that we are seeing. A significant part of that is, of course, less discounting because we have healthier inventories. Let's call it another 1/3. And then the combination of product cost and inventory provision is probably 1/4 of that, and I talked about freight, right? That's roughly where we are. But if you get in the game on what is exactly from Originals footwear, I assume you're getting on a slippery slope because there are so many combined effects across markets, across categories. And what you should have in mind going forward, we believe there is 3-stripes trending again through all the Terrace products and Campus and everything we're seeing, apparel will come as well. And it's our job also to have a healthy gross margin apparel as that starts to grow will that be in the second half or going into '25, we will see, but that's where we are. So what's important today is that around 50% is a good underlying gross margin that we've achieved, and we achieved that faster than we would have expected in Q1.
Bjorn Gulden: And if I just add to that the discounting that we had to do in the past, both on e-com and concept stores is, of course, not happening and the discipline we have on how we go to market has, of course, also improved. So there's a lot of underlying processes that has been done to avoid discounting or buy that is helping gross margin. And I think the only thing you can read out is also that the underlying margin for the adidas business, if we do it right, it's about 50% also without Yeezy, which I think most people didn't believe.
Operator: The next question comes from the line of Edouard Aubin, Morgan Stanley.
Edouard Aubin: John, I think in the past, you had mentioned that, if I'm not mistaken, that Terrace in 2022 was around €200 million of sales, more or less. So I think everyone is trying to figure out what percentage of the growth in Q1 is driven by Terrace plus Campus. I don't know what you're willing to share with us, but what was roughly the contribution maybe last year if you look at these 2, again, Terrace plus Campus so we can have a sense of, again, what percentage of the growth is driven by that? And then if you look at -- you showed some helpful charts regarding the brand heat for Campus, Terrace and it's still on the way up as you showed. But if you look at more specifically the North America and Asian market, it looks obviously like Terrace took up later than in Europe. How many months behind you think you are in these big markets and therefore, runway you could have? That would be helpful.
Bjorn Gulden: I always hate to say that people are not right. But I don't think I ever talked about Terrace in 2022 being €200 million. I mean, first of all, I was in a year in 2022, and it was definitely not €200 million. I think what we can say, and I'll repeat it, I think adidas did a great job heating up Terrace with the Gucci collab and all the collabs and that happened mainly in 2022. And then we scaled it from a couple of hundred thousand pairs in the beginning of '23 to be millions of pairs every month and the scaling is still going on. We use the measures of sell-through and of course, the order book and then combination of different measures that we can do in social media and in customer groups to then manage the flow. And so far, there is no, what should I say, indication that Terrace are certainly slowing down. In addition to that, you have to remember that Campus is a much, much, much, what should I say, more bulk issue and doesn't really, what should I say, come out of the Terrace thing because it's the most looking shoe, it's also more of a main shoe and we were very surprised to see how that catched on fire during this, I would say, end of first half last year. And we have scaled that, too. And as in many markets with many retailers now the Campus is actually bigger than our Samba. All these things on the wall shows you the strength of the Originals business that have on the court side but we're also very, very conscious that we need to find other legs to stand on. That's why the running lifestyle is so important for us, and that's why we are doing so many innovative projects on that to find those, what should I say, legs. The lo profile thing is something that has happened over the last, I would say, 12 months from a fashion point of view that we think we can scale because we've been part of it before. We don't believe we can own the trend, but we think we can capitalize on it. That's why we've been very, very quick on bringing it out to market. And then the Superstar, as I said many times, is something that only we can do. It's a shoe that you can't copy. It's a trend that stands by itself. And we think in 3-stripes is now, what should I say, scaling again and trending again, we can start to phase in Superstar again, the biggest adidas shoe in the history, but we don't have any urgencies on it. When you look at the different markets, it's obvious that Terrace was led by her. So the female consumer, I think, again, because of the Gucci collab led into it at the beginning. And then it's different from market to market how much he has bought into it. It looks to me like in Europe, he is buying into it and is also buying into Campus. It's the same in Asia. And then I think we need to agree that in the U.S., it's less of a buying from him than from her. But again, we haven't scaled Campus, for example, yet in the U.S. So it might be that in the U.S., we need Superstar before we need it in other markets. And that's the beauty now the way we're tracking these things, it's that we can play things locally in a global framework. And I think we are very, very close to the market to know what we're going to launch when. To give you the exact month or on things are delayed is difficult to say. And again, the most friendly market that leads the trend so far has actually been Korea. So we're reading a lot of what's happening in Korea and trying them to exploit from that. And then you can also imagine that our relationship with the retailers is, of course, improved a lot and we're having a lot of discussions or getting input from them when it gets to facing of different franchises. So I think we are in a very, very much better shape than we were 12 months ago to reading the market and when it gets to, what should I say, discussing and deciding on the flow of the different franchises in the different markets. And then the success right now in our concept stores where we are really, really doing well is, of course, is a good read. Because we can read both modes and colors in a different way than we could a year ago. So I feel for the next 3 quarters, I think we have a very good, what should I say, transparency on what we need to do. And as we move forward, we probably get more insights and agree more upon what we should do beyond that. But -- but for now, I think we're very confident for the next 3 quarters.
Edouard Aubin: Okay, Fantastic. Sorry, just one very small follow-up for Harm. What was the amount of the inventory release in Q1?
Harm Ohlmeyer: Well, it was a small amount. So it's marginal on gross margin overall. I mean, the comparison to last -- Q1 '23 was significant. And that's what you see in the 640 basis points because there's been a headwind on FX as well, so a significant part of the 640 basis points was the comparable. But just from an underlying, what we achieved in Q1, it was not meaningful. But make sure that in the next quarters, you don't count for the comparison again because you don't have every quarter the same comparison. That's why I said it's more important what we have achieved in Q1 '24, that's what we're building on.
Operator: Our next question comes from the line of Cedric Lecasble, Stifel.
Cedric Lecasble: Yes. Two questions also. The first one is on China. There seems to be for many companies, some uncertainty and some volatility in the trends reported. What's your maybe last update on the country, on the market, on competition, what can you say on China? And what can we expect for the year? You said double digit, probably a little lower Q1. Your latest thoughts would be interesting. And the second one is on apparel. You had a strong focus on relaunching the franchises. Apparel was also more in the excess inventory, but the excess inventory is coming to an end. So what are your plans in apparel? And what can we expect -- what are you seeing from the order book? Should we expect footwear to continue to outgrow apparel for a long time with a different split between the two? Or do you think apparel can pick up and capture?
Bjorn Gulden: Well, I think if I knew the future of China and I had, what should I say, the crystal ball, I would be a very rich person. I think my read on China is that the economy is, of course, not great. There is uncertainty. But in our industry, and that's what I'm saying, I don't think it matters for us so much because we need to grow anyway. We have lost market share in China through the BIS. We had a difficult time during the COVID period. And we have now a very energetic team that we've given the tools of both local design, local sourcing and quite some resources on marketing. So we expect them to continue to grow. And I think we said double digit. We ended Q1 with 8%. 8% is not so far away from 10%. I think so far, we have delivered what we said. But it is, of course, always an uncertainty with China with the political uncertainty and the situation in general. But again, I am a fan of the Chinese market because of the population and because of the energy. And again, I have a great feeling that we will take your market share back and every week, when we develop new products, and we learn what price points we should do in, what should I say, categories, I think we improve. So I'm optimistic I still think that we will grow double-digit in China this year despite these uncertainties. But of course, I will also hope that the Chinese economy then will be more positive, but that's way out of my reach. When it gets to apparel, it's a little bit complicated to answer because to be very honest, really, I'm extremely happy that we're growing in footwear and not in apparel. I think it must be -- if it had been opposite, it would have been much more risky. So our focus, rightly so, has been clearly on footwear. And then given the situation in apparel in the market in general, we have been more cautious on pushing apparel. But as you now speak, we are relaunching a lot the lifestyle apparel. So you will see in sportswear, we have a totally new , which will hit the U.S. market this summer and then the Europe and the other markets in the second half. We've redesigned all the essentials. So they will come up with fresh executions, both on material, cut, colors and of course, also logos. I think we have new ranges in all performance categories going into '25. So then units on apparel for '25 is going to be huge. Are we going to push apparel for the sake of pushing it? No. But I do think we will start to see growth in apparel as the 3-stripes trend is continuing. So I think it's a little bit our own, what should I say, I wouldn't say a mistake, but our own strategy that I've said be careful in apparel. And then I do think that we have the vehicles to see growth again in apparel in '25. And maybe also, when I look at the order book also in the second half of '24, but it's not strategically important to grow apparel heavily in '24 to be honest, because I do think we need to lead with footwear also short term going forward.
Operator: Our next question comes from the line of Aurélie Husson-Dumoutier, HSBC.
Aurélie Husson-Dumoutier: Yes. Two questions for me, please. The first one is on the guidance for '26. Some people say that guiding prudently could be kind of a double-edged sword as consensus systematically places itself far above the guidance. So what do you say to those who feel that the 10% margin in '26 is a prudent guidance from you and that like every guidance you give, it can be exceeded? That's my first question. The second one is on the Yeezy drop. The last one, could you come back on why the profitability was lower than the 2 previous drops from '23? When I think these products have been sold on your online DTC channel only. Thank you very much.
Bjorn Gulden: Well, I think on the Yeezy thing I said all the time that we started out with €500 million in inventory. And as we were selling off the bestseller, the quality of that inventory, a, from a styling, from an aging and where it's located, would get worse and worse. So we always said that the profitability in the beginning would not be the profitability at the end. And as you can imagine, as you're selling down on good inventory, you have broken size fronts. You sold out of the best colors, the best styles. And that's why I think the development of that is exactly as we said all the time. And so I think we have, what should I say, executed it exactly as you promised to. Then it gets to my 10% EBIT. I think what I've said all the time since we started is that when we looked at the company beginning of '23, it was actually Harm and myself, we said, do you think we can get to 10% EBIT as an operating model given where we are? And we both agreed, yes, we can. And that's based on the math that we show you, the 50%, 52% margin, 12%, marketing, 30% other and gives a 10% EBIT. And if it's 9.8% or 10.2%, I don't think that's important. I think it's important that -- we see it and sell it with what should I say, the execution we currently are doing. If there is more room after that, maybe but I think when we're coming from a company who lost €800 million in Q4 '22, then to promise you 14% or 15% will be the absolute wrong thing. So we stick to the 10% as an operating margin in a business model that you all understand. And then when we get closer to it, I think we can start to discuss if there are other options getting a higher profitability. But I think it's the wrong place to speculate on it when we are where we are. We are very happy with the development of the last 6 months. We are very happy with the resources we have at adidas. We think the timing for us is good, although we are in a very volatile, what should I say, economy or political situation. But the brand is strong. The resources we have is strong, and we feel we have done a decent job over the last 6 months. So I think we should to that. And then as we get closer to '26, we can discuss if there is an upside.
Operator: The next question comes from the line of Jonathan Komp with Baird.
Jonathan Komp: Yes. Bjorn, I wanted to ask a bit of historical context as you manage the current lifestyle and Terrace footwear trend. If I look back to 2013 and 2014, the adidas business produced about 250 million pairs of footwear each year. That net grew to more than in just a span of 3 or 4 years. And I'm wondering, could you give a little more context as you think about the history, the upside potential for the trend you're driving and whether or not that's an appropriate framework to think about how you scale this business for the next few years looking forward?
Bjorn Gulden: I think talking Terrace 10 years ago or 15 years ago, putting that into context is difficult. I'll try to do it another way. I believe that in the last 10 years, the market has gone more casual. I think the market has become more performance-oriented. And the 2 biggest economies in the world when it gets to population, the India and China is growing the interest in our sector. If I then look at adi in that context. We have the biggest archive when it gets to things that can go faster. We have a presence in all the big sports, and we clearly have the attitude of being visible in local sports. If you put that all together, I think it's our task to say that we can grow 10% knowing the, what should I say, a lack of performance in the last 3, 4 years. And we feel very comfortable that we have the vehicles to grow our footwear business double digit in the midterm future. And I think we all need to leave it to that because it's very complicated when you start to kind of break it down and you go deeper down because we don't even think like that. If we look into certain market shares to certain categories, we have single-digit market share. And I haven't met one retailer that couldn't do, what should I say, double the business that we did last year. So the room to grow is great. But then we also have competition. And of course, we need to do our job. So we will not double our business. But I think when we say we think we can grow double-digit every year, I think we should. And that's why for us at and to grow double digit every year is . And you can translate it into pairs or pieces. And of course, we're doing that. But -- but I don't know how, what should I say, relevant that is to be very honest with you. You also have to admit that the supply chain is going to be more local. I mean you clearly see that China is going to be China for China. You clearly see now that India is going to be more produced in India. America cannot really buy from China. So we are ending up having a supply chain that we were broken up in more local supply chains which, again, can bring more speed and agility into our pipeline. And we don't need to push everything to one big item. So many things that we can improve, but I hope you have seen that with the change of attitude, with the change of, I would say, agility and speed, we have turned the heat of the brand and the commercial visibility of the brand around pretty quickly, and that shows again what the normal strength the 3-stripes of adidas brand has and it's up to us then to maintain that. And then, of course, also manage the life cycle of these franchises in a way that we can sustain it because that is going to be the test that we can.
Jonathan Komp: That's very helpful context. Bjorn, one follow-up, if I can, on gross margin. Clearly, you're signaling maybe upside to the prior guidance of 48.5% for the year. Are there scenarios where you could be already at 50% or above for the year? And are there quarters going forward that we should think more closely about the factors you mentioned that would make you be above or below that level?
Bjorn Gulden: I think on the underlying business, I think we will try to keep our inventories clean. So whatever we have at end of quarters or end of season or end of life cycle, we will take the markdowns as we need them. So we might be more aggressive on markdowns than we have done before on a lower inventory, that's one thing. I also think that the Yeezy inventory, to be honest with you, of course, that's going towards 0 when it gets to the value of the inventory at the end. And that's why we will also there being, what should I say, a situation that we might have to write off part of the inventory. And that's an uncertainty. So there are still, of course, an upside on the 48.5%. That's obvious. But again, there is not a goal for us to optimize our gross margin in 2024. You see it's like we need to create the momentum, make the underlying business be more stable and improve the way we go to market also for '25 and '26. So I don't think any of us is trying to impress you with a substantially higher margin that we promise you. But it might be a result of the sell-through and everything is going as it today. That is correct.
Operator: The next question coming from the line of Jurgen Kolb, Kepler Cheuvreux.
Jurgen Kolb: Two questions from my side. First of all, I noticed that you terminated or not renewed the contract with Parley. Maybe some comments on why you decided to not continue that franchise, which I think at least I thought was quite successful at least at a certain stage. And at the end, what sales contribution was coming through from that cooperation? And secondly, maybe for Harm, or Bjorn, you also mentioned it, we've seen a little bit of leverage in the operating overhead in Q1. I think in one of the previous calls, you said that right now, Bjorn, you don't want to think about efficiency improvements, that's rather something for the second half or 2025 or so. Just maybe some comments as to where you think you are currently from that perspective. Is OpEx seeing or going to see a significant ramp-up of this leverage in this year in the coming quarters? Or is that something we should rather be looking at in 2025?
Bjorn Gulden: Well, the Parley decision was made in '22. So it was my decision. But I think the decision is made on the following is that ocean plastic, the way that was set up is not scalable to, what should I say, take care of all the plastic that you need to produce, what should I say, all the polyester product. So we have gone for, I would call, the recycled polyester in general and not only go for one niche. So that's the reason for the decision that was taken back in '22. So I can't give you the number that Parley was, but you know we are basically going towards 100% recycled polyester. So that comes from many, many, many different resources. I think that's the reason for it. On the gross margin, I can only say that we said we would like to have momentum on the top line with the retail and the consumer before we start to kind of really look for leverage, but I'm looking at Harm, and he seems ready to answer.
Harm Ohlmeyer: Yes. No, very clear. It's similar to what the question was earlier on the gross margin. I mean, we clearly -- and you have seen that start of the year with confidence and Q1 allows us now to do the right things for the future. And we are laser-sharp on what we want to deliver and what we shared some more details on in 2016 from a top line acceleration from a gross margin that we need and also leverage on the operating overheads. But again, Q1 gave us the confidence both on the gross margin and also what we need to invest into the brand. And yes, I could now target a leverage every quarter, what will be the size of that, but we also might decide that we need to focus on the line and get more leverage than in next year. So rest assured, we are laser-sharp on what we want to deliver in '26. If you are not here to optimize every quarter. That's why it's not a target in itself, but the target overall is that what you've seen in the formula, we got to get leverage over the next couple of years. And of course, we got to start somewhere. But again, it's not quarter-by-quarter.
Operator: The next question comes from the line of Monique Pollard with Citi.
Monique Pollard: A couple of questions from me on China, please. The first one is, obviously, you constant currency sales growth in China at plus 8% in the quarter, and you've mentioned e-commerce and wholesale, both up double digit. So just wondered if you could give some sense of the growth rate in stores in China and what you've got planned there in terms of improving that performance. The second question is just on the China EBIT margin, which was up really strongly in the first quarter, up 10 percentage points year-on-year driven by the 6 percentage points of gross margin expansion and some cost control. So we're now at a 30% China EBIT margin. Just trying to understand whether that's a reasonable level to expect for the rest of the year as well.
Bjorn Gulden: What I can tell you from the China retail is that our own and operating stores were doing better than our franchise stores, which is again, a little bit the same with that we have talked about in other markets is that owner and operator did extremely well because there were forward-fresh new merchandise. And I think also in China, our franchise partners. Remember, that's mono-branded stores, but they're driven by external partners didn't have the same presence in our inventory. So we feel again that the proven our own and operated stores doing so well shows that the brand is on the very right track. And if we fill the stores with the right merchandise, you will also get the same performance, but our wholesale partner or retail partners is then getting, what should I say, the success delayed because of limited and depth in their supply. So it's the same in China as we see it everywhere else. Having said that, for us to plan a bit more than 8% growth is kind of risky. So when we say 10%, it is 8%. I think that's in the ballpark where we're actually happy with the performance, but it gets to the EBIT margin of 29%, that's on the high end, if you look at the full year. We had a very, what should I say, clean inventory again in China. We had high sell-throughs and there's many moving parts to give you that number, but I would be careful thinking that we will deliver up to 30% EBIT for the full year. I think we have said that China will be probably our most profitable market that we're looking midterm, more at mid-20s the high 20s.
Operator: The next question comes from the line of Geoff Lowery, Redburn .
Geoff Lowery: Just one question. Marketing, do you think, given the need to localize more and given some of -- in China and given more globally, some of your competitors prepare to be more locally willing to bid up for marketing assets that you will actually be able to hold the marketing budget at 12% or so of revenues over time? Or do you think there's upside risk to that?
Bjorn Gulden: No, I don't think so. I think that 12% is where you should model it, and I think that's where we are modeling it. You know if some of the competitors are bidding up the prices on certain, what should I say, partners, that doesn't necessarily say that the whole market is following. So I think we have done the math and you clearly see that we did not bid as high on certain assets because we don't believe that's the right thing to do, and I doubt other people will do it. So I think 12% is still a solid number on our side and plan to be at that and don't necessarily or I don't see a risk of us going higher than that. And should we, I would tell you because that would be a change in strategy.
Operator: Our next question comes from the line of Warwick Okines, BNP Paribas Exane.
Warwick Okines: Two quick ones, please. Could you talk a bit more about the process of taking down high-end running into more commercial lines, where are you with that? I know you mentioned some upcoming launches. You've also talked a while back about investing in sales reps, but just wondering if you've got -- are getting any traction in that respect. And then the second question is on LatAm, up 18% in the first quarter. You referenced inflation there. Could you just give us an indication of what sort of volume growth you saw in the quarter there?
Bjorn Gulden: Yes. I think that when it gets to the sales reps, we did over the last 3 years, reduce our sales force in many areas by moving to the digital strategy. So there was a belief that you, for example, in running specialty but also in other specialty didn't need a sales force because those consumers and also retailers could buy the product digital. And of course, the proof that, that didn't work, we have. And that's why we're back again in many sectors to hire specialists, the trainers, experts, sales reps, for example, in running, but also in America, also in sports like skateboard, where we hire people from the community to be part of the community. I do think that we clearly see that physical communities around different sports, especially running is so important that you cannot replace that with digital. So that has started and is continuing, and we are much, much more active again in those communities than we have been before, and we clearly see that's a necessity also going forward. When it gets to the running, you have to remember that you're competing against brands that have been in the running community for the last years and been very focused on it. And you also have seen that there are running what should I say, brands and has focused very much on what I call comfort running and everyday running, which also goes into to the lifestyle side of it. And we didn't have a good offer on that. We have clearly focused in the beginning on racing. So we have done the best shoes to run the fastest from A to B, which is the most difficult and we've been very successful with our adizero and with the Evo range. We have then built, I would say, a secondary line around Supernova, which is then going against, I would call, the running specialty brands like Brooks to compete there over time. And that's very, what should I say, promising in the beginning. And then don't forget, we had with UltraBOOST, with all the BOOST models, maybe the most comfortable running shoes that existed in the market. that also went lifestyle. And we are now reintroducing UltraBOOST 5, which is, what I would say, our comfort running play. And you will see more new launches going forward that is clearly target that consumer who doesn't want to run the fastest from A to B, but have the most comfortable shoe to A to B and at the same time, assign the shoes in materials and colors that they can also be worn with jeans. And that is always, I would say, the combination. So many, what should I say, initiatives on the running side both on the top end, which I feel very comfortable and then also competing against where the trend is currently, and I think we are on a good way of having the right product, and then we need to be a little bit patient to build that business. When it gets to LatAm, I'm looking at Harm because he's the master of inflation. So he will answer on that.
Harm Ohlmeyer: Yes, there are 2 factors. I mean one is quite some piece of the 18% inflation-based price increases in Argentina. First and foremost, there are other markets as well, but it's very pronounced in Argentina. And I think we get used to that as well. So part of the 18% is actually inflation in Argentina. But rest assured, there's also volume growth overall in Latin America. So we believe we're making good progress in many markets, and we're gaining market share there, and this is definitely through volume growth. So I'm not going to give you now percentages of dissecting the 18% but there is volume growth. There's a significant part, pricing and inflation in Argentina. But overall, we are making good progress in a very difficult market with a lot of volatility.
Sebastian Steffen: Alice, we have time for one last question now.
Operator: Today's last question comes from the line of Aneesha Sherman with Bernstein.
Aneesha Sherman: So I have two, please. The first one is, this year, you've had a very successful franchise at the peak of brand heat. You've had a big increase in wholesale distribution. You've had some big -- or you will have some big sporting events and some Yeezy sales. And next year, you're going to be lapping all of this. And so as you think about next year's growth, do you model Terrace growing at the same pace next year as well? Or do you think maybe the new launches that are coming out this year will have ramped quickly enough to make up for a slowdown in Terrace? Like how are you thinking about that algo versus what looks like a very strong year? My second question is on China. I think a couple of quarters ago, you talked about broadening the assortment and broadening the distribution to more mass price points where you see opportunities for share gain. Is that already happening? Or is that more of a 2025 opportunity?
Bjorn Gulden: When we model our lifestyle what should I say, franchises, we do that based on many factors. What is, of course, what the retailer wants to buy from us. The other one is the algorithm on what we're selling out. And then it's a combination of consumer groups and also, of course, social search. And when we look at it now, there is none of the franchises that we have talked about are slowing down and none of them are actually down when I get to demand going into '25 from the retailers. That doesn't necessarily mean that we will release those quantities. And this is what I'm saying is that behind Terrace, you have Campus. Behind Campus, you have SL72. Behind SL72, you have lo profile. Behind that, you've running lifestyle, and behind that, again, you have Superstar. The work that we are doing is market-by-market trying then to see what is the right flow of that. And as I said, I think in the beginning, I feel we have a very thorough process in, what should I say, modeling and playing plan A, B, C, D within the time frame of what we can react on. And this is a new situation for us because we haven't had 5 franchises working at any point in time the way it looks right now. So we will have to show you that we can do that. What we are modeling is continuous growth in the lifestyle area. But the mix of it when it gets to the different franchises in the different markets, as I said, have different scenarios. And all those scenarios are built in a way that we can react changing the production line in the factories from one model to the other model because, remember, we run these franchises on court in all the same factory groups. So it's a pretty, what should I say, easy way of changing. When it gets to China question, we especially said that on the performance side, we saw that the local brands have gained a lot of share in performance by building products in the price point €100 and below, where we didn't really have a good global offer. So what we have done is that we build products both on the real performance side, but also on the, I would say, for example, running lifestyle on around 100, then we see -- start to see traction on that. But Rome is not built in one day. So of course, the -- what should I say, the visibility of these models will be much bigger in '25 than in '24 because we started this just 6 months ago. So we feel that we have given our Chinese team the resources and the tools, design, development, sourcing and marketing money to kind of cater for local demand, which partly is different than what it is in other parts of the world. So they have a lot of creative freedom to utilize these resources to connect to the consumer. Again, I think when you look at the performance being up 8% and having a much cleaner inventory and having one of your colleagues had a huge improvement on the EBIT line in Q1, but things are starting to work in a way that we're very proud of what the local team has done, knowing that we will have to continue to take share and knowing that the business in China can still be uncertain and volatile given all the external factors. But I think we feel a lot better today than we did 12 months ago.
Sebastian Steffen: All right. Thanks very much, Aneesha. Thanks very much, Alice, and thanks very much also to Bjorn and Harm. And of course, also thanks to all of you for participating in our call today. This concludes our Q1 results call. As always, if there's any questions left, please free to reach out to Adrian, Philip, myself or any other member of the IR team. We were very much looking forward to chatting with you over the next couple of days and weeks. And with that, as Bjorn said, let's all enjoy the summer of sports starting with an all adidas Champions League, semi-final tonight. All the best. Bye-bye. Take care.